Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the CorEnergy Infrastructure Trust 2014 Third Quarter Earnings Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to your host, Katheryn Mueller, Investor Relations for CorEnergy. Ms. Mueller, you may now begin.
Katheryn Mueller: Thank you, and welcome to CorEnergy Infrastructure Trust third quarter 2014 earnings call. I am joined today by CorEnergy Executive Chairman, Rick Green; CEO and President, David Schulte; and Treasurer and Chief Accounting Officer, Becky Sandring. An audio replay of our conference call and information included in our press release issued Friday, as well as the presentation materials for this call are available at corenergy.corridortrust.com. We would like to remind you that statements made during the course of this presentation that are not purely historical maybe forward-looking statements regarding CorEnergy's or management's intentions, estimates, projections, assumptions, beliefs, expectations and strategies for the future. All such forward-looking statements are intended to be subject to the Safe Harbor protection available under applicable securities law. Because such statements deal with future events, they are subject to various risks and uncertainties and actual outcomes and results might differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our website. We do not update our forward-looking statements. At this time, I will turn the call over to CorEnergy President and CEO, Dave Schulte.
David Schulte: Thank you. And welcome to CorEnergy's third quarter 2014 earnings call. I'm pleased to discuss the results of another successful quarter as a real estate investment trust. The first three quarters of 2014 demonstrate CorEnergy’s ability to deliver stable dividends, covered by growing cash flows from our energy infrastructure assets, while optimizing our balance sheet for our pipeline of investment opportunities. Now let address some of the highlights of the quarter and our expectations for the balance of 2014. Turning to slide three of our investor presentation, throughout the third quarter, our investments continue to provide stable, contracted revenues allowing us to reaffirm our full year, annualized dividend guidance of no less than $0.52 per share, as a reminder this is a 4% increase of our prior year and an 18% increase over our dividend as a BDC. We also declared our third quarter dividend of $0.13 a share, payable to shareholders on November 28. Third: we successfully established a new $30 million senior secured revolving credit facility. This new four year facility enhances CorEnergy’s financial flexibility tremendously. So we expect to use the new upsize facility to fund potential acquisitions, capital improvements or other corporate purposes. Fourth: we filed a new registration statement on Form S3 with the SEC, if and when they called effective, the self registration statement is intended to refresh the ability to offer and sell up to $300 million of CorEnergy equity, debt or other types of securities. Next, we completed the sale of one of our legacy portfolio companies, VantaCore effective October 01. We are very pleased that the performance of our private securities met our expectations. We have received gross proceeds of $13.6 million from the sale slightly above the reported fair value for VantaCore. Net of taxes, our proceeds of approximately 10 million are expected to be used for the construction or acquisition of real property assets. Lastly, we remain active on investment side of our business. We funded $11 million in support of -Black Bison’s third saltwater disposal acquisition resulting in an upsizing of this investment of $15 million. Year-to-date, we funded $65 million of acquisitions, capital expansion projects, energy infrastructure sector. Now, I will turn to our portfolio of assets for third quarter update on Slide 4. We continue to focus on high-quality assets with proven business models. The re-qualifying assets currently in our portfolio satisfy our investment criteria of fixed assets intensive businesses with stable cash flows and limited commodity price sensitivity, potential growth opportunities, experienced managing teams and limited technological risk, each of these assets listed across the top of the page, provide long duration, visible cash flows which are capable of mitigating inflation risk through participation features, our low volatility assets performance expected in the third quarter. Starting with Pinedale LGS, our outlook remains stable. In the third quarter, Ultra Petroleum acquired a property from Shell but it is adjacent to our system. This transaction demonstrates all trust commitment to the region and more specifically, the Pinedale field. Ultra plans to maintain our four rig program for the remainder of 2014 and drilling activity has yet to translate to increase volumes through the LGS. However, with the CPI based rent escalations alone, our rents have the potential to increase significantly over the next 13 years. The second largest step in our portfolios is the terminal in Portland. In August, base rent increased to $5 million per year, an increase of 82% over our prior reduced rate. Base rent is also expected to increase based on our percentage of terminal related improvement projects which are estimated currently at $10 million, assuming such improvements are completed, minimum lease payments would then be in excess of $6 million per year. We are pleased with the progress made at the terminal and optimistic about the possibility of receiving variable rent once construction is completed. The remaining assets in our portfolio also performed according to plan. With that I will turn the presentation over to our Chief Accounting Officer, Becky Sandring for overview of our financial results.
Rebecca Sandring : Thank you, Dave. Let's now turn to Slide 5. The third quarter represented another quarter of consistent and strong performance from our diversified asset portfolio. On Friday, we filed our 10-Q and issued a press release highlighting our financial results for the quarter ended September 30, 2014. The financial information presented in the 10-Q should be considered in its entirety. For purposes of this call, we have provided you with a few key financial metrics that we think will be helpful to you in evaluating CorEnergy's performance. We believe that non-GAAP performance measures utilized by REIT, including funds from operations, FFO and adjusted funds from operations, AFFO, also provides useful insights into CorEnergy's operational performance. FFO for the quarter ended September 30, 2014 totaled approximately $5.1 million or $0.16 per share. This represents a 6% increase over the prior quarter’s FFO of approximately $4.8 million or $0.15 per share. FFO increased as a result of a distributions received from investment securities namely distribution received from the sale of VantaCore. AFFO for the quarter totaled approximately $5 million or $0.16 per share. This represents a 12% increase over the prior quarter’s AFFO of approximately $4.5 million or $0.14 per share. The company’s FFO and AFFO measures are after payments made to our non-controlling interest, so are applicable to our common shareholders. We believe our run rate of FFO and AFFO will support annualized dividend payments of no less than $0.52 per share. Turning to Slide 6, CorEnergy's total revenues and dividend distributions are shown quarter-over-quarter. We believe that sequential comparisons rather than prior-year comparison is more representative of where the business is from a cash flow perspective and that's more relevant to assessing dividend payments. The graph shown here is to take the company’s recurring and sustained revenues in addition to our stable dividend performance. The growth of our portfolio is evidenced by the graph on the far right which depicts the total assets. In December of 2012, the major increase in total assets is attributable to the Pinedale LGS acquisition. Next, we see an increase in the first quarter of this year which is attributable to the Portland terminal facility acquisition. In the third quarter, we have a modest decrease which is attributable to the depreciation associated with those aforementioned assets. In terms of liquidity, we have replaced the company’s $20 million corporate revolving credit facility with a new upsized $30 million facility. The Portland terminal facility will be eligible collateral under the new facility enhancing our financial flexibility within our total leverage range of approximately 25% to 50% of assets. We would expect to utilize balance sheet resources including prudent leverage when available, supplemented with accretive equity issuances as needed for future acquisitions. And with that overview, I will turn it back to Dave to conclude the presentation and lead us into the Q&A.
David Schulte: Turning to the slide entitled overheard in the corridor, we provide some additional insights as we close out the year. Now along with yield curves, the REIT vehicle is gaining traction as an alternative financing structure with utilities. In October, Moody’s published report noting large power transmission utilities are actively exploring the feasibility of using the REIT structure as a financing vehicle. Transmission assets and a steady cash flow as they generate along with CorEnergy’s target investment characteristics and importantly our assets that unlike MLP’s CorEnergy can and already does own. Our management team has over 100 years in combined leadership experience in utility sector, which includes direct experience in electric transmission, utility asset acquisition and operations, development and in federal and state regulations. By working hand-in-hand with utilities CorEnergy can leverage its REIT experience and structure serving as a partner to help satisfy the capital needs of power companies. Through our EIP lease, CorEnergy is already serving as a partner on power transmission assets, a key competitive advantage of CorEnergy’s EIP lease is a public service company of New Mexico retains complete control over its assets. Importantly, for our investors seeking reliable, real asset-based cash flow streams from utility like assets, infrastructure investing the other REIT vehicle can enable investors to access those reliable cash flows, from a tax efficient liquid structure with no K-1. CorEnergy is well-positioned to target power transmission assets as it built its diversified energy infrastructure REIT. Finally, as 2014 begins to (inaudible) close, the U.S. energy boom continues despite macroeconomic challenges. The recent decline in crude oil prices caused a short-term ripple effect across the broad energy markets. Nonetheless, we remain steadfast in our view, the North America is still in the early innings of an energy revolution and we also believe the long-term fundamental market opportunity remains intact for CorEnergy. CorEnergy provide access to energy infrastructure assets and simultaneously offers our owners of real yield opportunity. With that, I'd like to thank you for your participating on our call and ask our operator to open the phone line to your questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of T.J. Schultz with RBC. Please proceed with your question.
T.J. Schultz – RBC Capital Markets: Hi everybody, good afternoon. I was just curious if discussions that obtains with all of the EMPs with pipeline assets, just given kind of changes, volatility with commodities whereby it may be lower commodity price environment they be more prone to monetize some of those assets through sale lease back, just looking for any color really on how or if discussions have changed over the past couple of months here?
David Schulte: TJ we have had an increase in enquiries from E&P companies through their investment banking relationships and even lender referrals as the commodity price volatility seems to be moving in a downward direction, the ability to execute expected capital expenditures plans within existing cash flow becomes tighter. And that is a very good backdrop against which our financing solution is of interest to E&P companies.
T.J. Schultz – RBC: Okay. What are some other as you look at those deals with E&P, what are the other hurdles you are facing to do another LGS site deal, are they [borrowing] to the CorrE refinancing option, are there out right buyers of assets, are they more attractive or are there other financing options if any are they finding out there right now, just trying to get any more specific and kind of the color and conversations you are having right now.
David Schulte: Well, long term interest rates spreads have remained relatively tight throughout the quarter and companies that are investment grade rated, have pretty open access to data and equity markets and an integrated business model that makes it a little tougher from them to separate out one of assets. On the other hand, companies that are below investment grade have less diversification or integration of the business models and are opened to innovative ways to finance are actually increasing their inquiries of us. So we had focused our efforts on those kinds of companies we mentioned earlier this year and we are seeing that activity bear fruit in terms of an increased deal flow opportunities and our pipeline right now seems as full as it has been since we have started the business in terms of opportunities that are under review.
T.J. Schultz – RBC Capital Markets: Okay. That's great. I guess just lastly you monetized the VantaCore, just any color on the longer term plan with Lightfoot here?
David Schulte: Well, Lightfoot has a path to liquidity because the company is already publicly treated. We are fully intend to retain our subordinated unit position there and until such time as it becomes commonly traded or convertible into the common units, at which time we will evaluate market conditions for a prudent and regular way exit of that position without forcing anything. There is additional asset at the general partner there that we also own and there is no eminent liquidity plan for that. So I think other than to say, everything is working out as we planned. We are in good shape on our private portfolio.
T.J. Schultz – RBC Capital Markets: Okay. Thank you.
Operator: Thank you and our next question comes from the line of Michael Blum with Wells Fargo. Please proceed with your question.
Michael Blum – Wells Fargo: Thanks, good afternoon everybody. I guess somewhere along the same lines just curious your commentary around the increased potential opportunities at the power utility companies, should I read anything into that? Is that suggesting that you are having more trouble looking and competing with MLPs or not competing with MLPs from more traditional oil and gas assets, I mean just trying to think how to interpret your commentary?
Rick Green: Actually no we feel like our messaging on the energy side has been very much well understood, we are not trying to compete with MLPs for operating assets but that E&P companies that have strategic assets of their own and they are not large enough for their own MLPs or perhaps they don't want to lose operating control over that we are emerging as a solution that they think of with the help of their advisors without us having the knock the door. So I actually think that part is doing fine, what we commented on today was the growing awareness of the validity of our REIT restructure for electric transmission utilities and although that's been around as a private lender ruling for quite some time and in fact is the basis on which we bought our asset in the Mexico, we are seeing increased opportunity to talk to transmission utilities about how a real estate investment trust can be a partner from helping them leverage their own balance sheet and their operating business model into a larger asset base. And that awareness we believe is growing and will continue to grow and there is less concern now about whether it has been done before because it has been done before. And the rating agencies willingness to take up a white paper on how utilities can think about the implications on their existing credit facilities and how regulators will enter into that conversation are things we have been talking with utilities about for three years. So it's formalization if you will of the conversation that’s already under way and we just wanted to be prepared among our investor base to be aware that we are expecting to be a partner in that arena and in fact already are.
Michael Blum – Wells Fargo: Okay. Great. Thank you very much.
Operator: Our next question comes from the line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol – Stifel: Thank you. Good afternoon. I think in your commentary, Portland terminals cash flow increased from there. How much to go up for?
Rebecca Sandring: Well, it went up from roughly the $230,000 per month that it was through July to, I believe, slightly over $400,000 per month. So that increase was part of the expected increase and step up that we expect to have happen in August and that did indeed occur.
Selman Akyol – Stifel: Good. Any thoughts on just going back to the VantaCore, how quickly you will be able to reinvest those proceeds just in terms of your pipeline.
David Schulte: Sure. VantaCore is a good source of liquidity for us to fund the CapEx requirements out in Portland and so those – that cash is going to be deployed relatively quickly. We are planning to use our line of credit for that but if we don't need to, because we have got the cash we will use the cash and that's eminent so one to two quarters that project should be completed.
Selman Akyol – Stifel: And how much, can you just remind us, how much is left to go in terms of the investments there?
David Schulte: The total expectation was $10 million and of that I think we are about $4 million in, and the project is still under way and we will be updating that at the end of the year as far as our expectations there.
Selman Akyol – Stifel: Okay and I was just going to ask you at this point, is there any guidance for 2015 and broad brushstrokes?
David Schulte: We have not announced any guidance for 2015, however, I would like to point out that the nature of our business is such that it is very much a quarter-to-quarter run rate style of income statement with very low seasonality. Even though in one of our businesses we have some seasonality that’s immaterial to the quarter and so we would expect absent announcements quarterly distributions to be consistent with the increases if they are any under our leases announced in connection with the queue that's filed that would be when, we would then be able to articulate what cover direction might be or what are new dividend might be. So without giving guidance I think past quarter performance is pretty close to what would be expected absent to another transaction.
Selman Akyol – Stifel: Okay and then have you guys receiving increased cash flow of the Lightfoot this quarter?
David Schulte: We did. Lightfoot increased the distribution for this quarter, as you are probably already aware we are very pleased with that investment that opportunity and their management team have a good relationship there and yes we do get the benefit of increases in distribution of Lightfoot.
Selman Akyol – Stifel: And so that should be a good run rate going forward as well then?
David Schulte: A good. I am sorry a good what?
Selman Akyol – Stifel: It should be a good run rate going forward as well then?
David Schulte: Yes. I apologize a good run rate going forward.
Selman Akyol – Stifel: Great and my last question here, in terms of the broadening of the assets class, I guess there are pluses and minuses to that right? Certainly, more awareness I think it does, everyone could, if there is other players in there, they are come in faster growth, would that put you somewhere disadvantages I guess if it does brought do you guys think about that and how you guys could respond?
David Schulte: Well, we do think about that but frankly we think that in the – we spend the significant amount of time with each particular tenant, making sure we understand their needs and their business and that we are building a good long term relationship with them and if we do our job on the front end I think that because we are agnostic to anyone asset, we are not dependent on related party asset contributions. We have got a very large opportunity set and there is, it's a very large energy asset sector that we are in that there will be opportunities for us.
Selman Akyol – Stifel: Alright. Thank you very much. Appreciate it.
Operator: Thank you and we will hold for one more moment to see if there are any further questions. [Operator Instructions] Thank you and it seems that we have no further questions with us at this time. I would like to turn the call back to management for closing remarks.
David Schulte: Thanks everyone. 2014 drawing to a close and we had a full year of REIT qualifying status this year. And look forward to good things in 2015. Thanks very much.
Operator: Ladies and gentlemen, that concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.